Operator: Welcome to Workday's Fiscal 2024 Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the call. During the Q&A, please limit your questions to one. I will now hand it over to Justin Furby, Vice President of Investor Relations. Justin, you may begin.
Justin Furby: Thank you, operator. Welcome to Workday's third quarter fiscal 2024 earnings conference call. On the call, we have Aneel Bhusri; and Carl Eschenbach our Co-CEOs; Zane Rowe, our CFO; and Doug Robinson, our Co-President. Following prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website, where this call is being simultaneously webcast. Before we get started, we want to emphasize that some of our statements on this call, particularly our guidance are based on the information we have as of today and include forward-looking statements regarding our financial results, applications, customer demand, operations, and other matters. These statements are subject to risks, uncertainties, and assumptions that could cause actual results to differ materially. Please refer to the press release and the risk factors and documents we filed with the Securities and Exchange Commission, including our fiscal 2023 Annual Report on Form 10-K and our most recent quarterly report on Form 10-Q for additional information on risks, uncertainties, and assumptions that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Workday's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results in our earnings press release, in our investor presentation, and on the Investor Relations page of our website. The webcast replay of this call will be available for the next 90 days on our company website under the Investor Relations link. Additionally, our quarterly investor presentation will be posted on our Investor Relations website following this call. Also the customer's page of our website includes a list of selected customers and is updated monthly. Our fourth quarter fiscal 2024 quiet period begins on January 15th, 2024. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2023. With that, I'll hand the call over to Carl.
Carl Eschenbach: Thank you, Justin. And thank you, everyone for joining our Q3 FY 2024 earnings call. I'm pleased to share that Workday delivered another strong quarter, achieving 18% subscription revenue growth, 22% 12 month backlog growth and non-GAAP operating margin of 25%. These results were driven by broad based strength across net-new and customer base teams, medium and large enterprise and across regions, notably, the U.S. and EMEA. I want to thank the more than 18,300 workmates around the globe for partnering with our customers to help drive these impressive results. There is a clear sense of momentum across our business and it was on full display at Workday Rising in September, there we unleased new AI innovation, delivered product and partnership announcements and drew a record 28,000 attendees in-person and online. In fact, over half of our active pipeline was touched by our rising event in San Francisco. And just a couple of weeks ago in Barcelona, we followed up with our largest ever EMEA rising event with over 4500 people in attendance. When speaking with customers, prospects and partners at these events, a few things stood out to me. First talent continues to be a top C-Suite priority. In this macro-environment businesses are looking to scale and drive productivity. They can achieve both outcomes by simply hiring more. Leaders are turning to Workday to help them reskill and upskill their workforce, all while delivering a great employee experience that helps them reduce attrition and ultimately drives productivity. Second leaders are continuing to consolidate their technology footprint on a true platform to realize total cost of ownership benefits, while also accelerating their operations. Workday is perfectly positioned to benefit as the intelligent digital backbone businesses can rely on to manage their most precious assets, their people, and their money. And finally, AI, and in particular, generative AI is becoming a business imperative. As a trusted partner and a market leader with over 65 million users under contract we can uniquely drive efficiencies and improve the employee experience. Aneel will share more, but. I will say, that it is what we are doing and not just saying that is resonating with our customers. Simply put, our value proposition has never been so relevant and powerful. That's clear, in the results our team delivered in Q3 and in the first half of FY 2024. At our recent financial Analyst Day, we talked about the diversity and durability of our business and how it helps us grow during times of headwinds and times of tailwinds. This theme was evident in the wins we had this quarter. From a net-new customer perspective, we once again saw strength in full platform deals. We welcome customers like AdventHealth, Bentley Systems, Houston Methodist and Lifespan as new full platform HCM and financials customers. And new HCM customers such as Greene King Brewing, Group 1 Automotive, Minor Hotel Group and the U.S. Department of Energy helped us surpass 5,000 core HCM customers on Workday. Alongside healthy new customer activity, we had several strategic expansions and renewals in the quarter, including Magna International, Mondelez Global, Sonoco Products Company and Southwest Airlines. And I'm pleased to share that our create and close business had another great quarter and it's becoming a meaningful driver of our customer base sales teams growth. Now, I want to highlight some of the key growth areas we discussed with you at our Financial Analyst Day. Starting with international, which represents over half our addressable opportunity. In EMEA, I'm pleased to say that our leadership additions are driving improved and more consistent results. The team here once again delivered strong new ACV, particularly in the UK, Germany, France and Spain and helped us eclipse the $1 billion ARR mark in the region. Win rates were robust against our competitors, even in their own backyards. We had important new wins like AXA UK, Aurelius Group and International schools along with expansions at BBVA, Carl Zeiss and TELUS Global Services among others. And in the Asia Pacific region, Australia performed well with wins such as Ramsay Health Care and Wesley mission Queensland. We still have work to do in APAC. But we're focused on it and I'm delighted, Simon Tate has joined us to run the region. We're also making important investments in Japan to help expand our opportunity within one of the world's largest economies. As part of this, our leader in Japan will now report directly to Patrick Blair, our President of Global Sales. Moving to financials. We are seeing proof that our go-to-market investments are continuing to pay-off with healthy growth in both core financial customers and new ACV. New full platform wins are on the rise and our industry approach is contributing to this momentum. Healthcare, for example, through new ACV over 50% in Q3 and roughly half of the healthcare deals we landed in the quarter were full platform. State and local government also continues to outperform with strategic full platform wins at of County of Kern, County of Chesterfield and the Pennsylvania General Assembly. Our back to base motion in financials also delivered in Q3. Wins included Clearwater analytics, Ochsner Clinic Foundation and Concentrix, which expanded their Workday HR footprint to include core financials when it combined with Webhelp, a Workday core financials customer in EMEA. Our planning business also had a strong Q3 and we welcomed AWS as a planning customer along with NPR and Storskogen Group. And finally, our win rates remained strong and we see a growing pipeline of opportunities to replace our legacy ERP competitors. On the partner front, we've always recognize the vital role our ecosystem plays in our customers success and it starts with go-lives. HCM go-lives this quarter included American Electric Power. Dave and Buster's and Iberdrola, along with financials go-lives at NorthShore University Health System, SolutionHealth and Weis Markets. Increasingly, we're leaning into our partner ecosystem in other strategic ways. Our skills accelerate our partnership with Accenture, which we announced at EMEA rising is a great example. Accenture will be reselling our skill solution providing their own services expertise on-top of the Workday's Skills Cloud. We also announced a partnership with ADP to extend the capability of Workday HCM with ADP's payroll and smart compliance solutions in key global markets. And we announced AI marketplace at Rising, which allows us to innovate with our ecosystem of partners to deliver trusted and responsible AI solutions for our customers most compelling use cases. Finally, we see strong momentum from our partner referral program we launched earlier this year. We've already exceeded our full year target for the number of partners that have signed on. And while it's early, we are starting to see a positive impact to our pipeline. Another key investment area is around AI, which we've been building into our platform for nearly a decade. As I mentioned at Rising, we demonstrated our leadership with new announcements and demos that illustrated how AI will shape the future of work. I won't steal Aneel's thunder, he'll be joining in just a minute to share more. In closing, we had another quarter of strong and consistent performance amidst a dynamic environment. The diversity and mission critical nature of our business continues [Technical Difficulty] to fuel our success. As we move through Q4, we have a solid pipeline and clear [Technical Difficulty]. And while we are clearly focused on delivering in the near-term. We have our sights set on delivering durable [Technical Difficulty] while expanding margins. With that, I'll turn it over to my Co-CEO and good friend Aneel, who will share more about our AI strategy and innovation highlights from the quarter. Aneel, over to you.
Aneel Bhusri: Thank you, Carl, and to everyone joining today's call. As you heard Carl mentioned an increasing number of organizations across all industries and geographies are continuing to place their trust in Workday, which is why we remain focused on delivering the innovation our customers need to thrive in today's environment. For the last couple of quarters, we've highlighted our longstanding and differentiated approach to AI, including generative AI. That is driven by our platform strategy, unrivalled dataset, emphasis on being human centric and commitment to delivering responsible and trustworthy solutions. At Workday Rising in September, our leadership in this space were showcased in a big way as we unveiled a series of new AI capabilities that will help redefine the way our customers work. On the generative AI front, we announced several new capabilities that will benefit all users with an emphasis on increasing productivity. Growing and retaining talent, streamlining business processes and driving better decision making. Examples of the use cases we previewed, which we expect to be available next year include the ability to generate job descriptions in minutes versus hours, analyzing correct contracts for faster, more accurate revenue recognition. Create employee growth plans to foster and retain talent and provide text-to-code generation capabilities to increase productivity of app development in Workday Extend. Another way we're infusing generative AI into our platform is through our investment in conversational AI. While we are still in the exploratory phase with this technology. We believe conversational AI will fundamentally change how users interact with Workday. By enabling them to easily surface information they need and interact with data through simple conversation. We're also leveraging generative AI to create a conversational experience for Workday Adaptive Planning customers. The use of conversational text will simplify the process of surfacing key planning insights. Enabling users to make quicker, more strategic decisions about their businesses. Additionally, we announced enhancements to Workday Extend, which continues to be a critical solution to help bring the Workday platform to life for our customers and partners. In fact, we've seen an increase of more than 70% in the number of apps built by customers and partners with Extend in the last year alone. At Rising, we unveiled Workday AI gateway, which is available on Workday Extend. Our AI gateway provides developers with access to Workday's AI services to enhance our ability to build intelligent and responsible apps on the Workday platform. Turning to the office of the CHRO, we introduced several new features within Workday HCM that leverage AI, many with a focus on elevating the manager experience by providing them with the tools and insights they need to effectively lead and foster the career growth of their teams. One example is Manager Insights hub, which leverages AI to surface personalized recommendations and make it easier for managers to identify the best opportunities for their employees based on Skills interest to improve talent mobility and employee engagement. And while we will continue to deliver on the promise of AI for our customers, many of our partners and other enterprise companies are delivering on the promise of AI as well. As Carl mentioned, we announced our AI marketplace to help harness the AI innovation happening across our ecosystem. To date, we have 15 early adopters and that number will increase over time as we expand to include tailored solutions delivered by our partner ecosystem, Workday related capabilities in third-party products and native AI powered Workday Extend apps. Of course, none of these AI advancements can truly be effective without the right safeguards and regulations in-place. Building on our continued efforts to advocate for smart AI policy at the federal level. Workday's Josh Lannon, Vice President of Productivity Technology was invited to testify before Congress on AI in the future of work. Josh spoke to the potential of AI to enhance how workers collaborate and amplify human potential and the steps Workday is taking to deploy these technologies in a trustworthy and responsible manner. At the application level, Workday products continue to be recognized for the innovation that we deliver to customers. For the office of the CHRO Workday was named a leader in the Gartner Magic Quadrant for cloud HCM suites for 1,000 plus employee enterprises. Workday was positioned highest for ability to execute and it marked the eighth consecutive year we were recognized as a leader. Additionally, Workday VNDLY was named a 2023 top HR product of the year by Human Resource Executive. The award recognized VNDLY's ability to provide organizations with the full set of capabilities for end-to-end lifecycle management of external workers and its ability to integrate with Workday HCM to support full visibility into headcount spend and more. And for the Office of the CFO, Workday was named a leader in the 2023 Gartner Magic Quadrant for Cloud ERP for service centric enterprises based on completeness of vision and ability to execute. This is the second year in a row that Workday was recognized as a leader. In closing, I want to thank the entire Workday team for their incredible efforts in Q3. We have an amazing opportunity in front of us and I remain confident in our ability to capitalize on it. Thanks in large part to our more than 18,300 workmates. They are relentlessly focused on driving innovation across the entire Workday platform to actively address our customers finance and HR needs. With that, I'll turn it over to our CFO, Zane Rowe, over to you, Zane.
Zane Rowe: Thanks, Aneel, and thank you to everyone for joining today's call. As Carl and Aneel mentioned, Q3 was a strong quarter, highlighting the durability of our business and ongoing market adoption for cloud financials and HCM. Turning to results. Subscription revenue in Q3 was $1.69 billion, up 18% year-over-year. Professional services revenue was $175 million, leading to total revenue of $1.87 billion, growth of 17%. U.S. revenue totaled $1.4 billion, growing 17% and international revenue totaled $462 million, growing at the same rate. As we have highlighted, we see significant long term international opportunities, which we expect over time will become a more meaningful driver of our growth. As we discussed at our recent Financial Analyst Day, we are providing our 12 month subscription revenue backlog or CRPO, which was $6.05 billion at the end of Q3, representing growth of 22%. The result was driven by strong new ACV bookings and healthy renewals with gross and net revenue retention rates of over 95% and over 100%, respectively. Early renewals in the quarter exceeded our expectations, adding more than a point of growth to 12 month backlog and early renewals from prior quarters also continued to benefit backlog growth in Q3. 24 months subscription revenue backlog was $10.58 billion at the end of Q3, up 23%. Early renewals in the quarter added nearly 2 points of growth to the results. Total subscription revenue backlog at the end of the quarter was $18.45 billion, up 31%. Backlog benefits from increased contract duration, which speaks to our customers' continued commitment to our platform. Our non-GAAP operating income for the third quarter was $462 million, resulting in a non-GAAP operating margin of 24.8%. Margin strength relative to our guidance was driven by revenue outperformance and the timing of certain expenses and investments, which we expect to build in the fourth-quarter. Q3 operating cash flow was $451 million, growing 10%. During Q3, we repurchased $148 million of our shares at an average price of $218.35 per share. And we had $139 million in remaining authorization under our buyback program as of quarter end. We intend to execute on the remaining authorization of our buyback during Q4. We ended the quarter with $6.9 billion in cash and marketable securities. We continue to invest in growth areas in the business and we ended October with over 18,300 workmates around the globe. Now turning to guidance. Following our continued momentum in Q3, we are raising our full year FY 2024 subscription revenue guidance to $6.598 billion, representing 19% year-over-year growth. We expect Q4, subscription revenue to be $1.755 billion, representing 17% year-over-year growth. We now expect professional services revenue of $158 million in Q4 and $652 million for the full year. In Q4, we expect 12 month backlog to grow approximately 19%, this includes our current outlook for early renewals in the quarter. We plan to continue disclosing our 12 month, 24 month and total backlog, but intend to provide guidance on 12 months going forward. We are raising our FY 2024 non-GAAP operating margin guidance to 23.8%, and for Q4, we expect a non-GAAP operating margin of approximately 23.5% as we ramp-up our key investment areas. GAAP operating margins for the fourth quarter and full year are expected to be approximately 20 and 22 percentage points lower than the non-GAAP margins respectively. The FY 2024 non-GAAP tax-rate remains at 19%, we are raising our FY 2024 operating cash flow outlook to $1.975 billion, growth of 19% year-over-year. In addition, we now expect FY 2024 capital expenditures of approximately $250 million. As we discussed at our recent Financial Analyst Day, we see considerable opportunity to drive durable profitable growth over the longer-term. The financial framework, which we shared in September is further bolstered by our Q3 performance and the momentum we see building across key growth areas of our business. In light of the continued uncertain macro and incorporating our Q4 outlook, we currently expect FY 2025 subscription revenue of approximately $7.725 billion to $7.775 billion, representing growth of 17% to 18%. We also expect to expand our FY 2025 non-GAAP operating margins from FY 2024 levels. Our outlook contemplates incremental investments across our key growth initiatives, while delivering continued margin expansion as we scale and optimize the business. The confidence in our outlook is supported by the advocacy and support of our customers, partners and workmates, who are all key contributors to our success. With that, I'll turn it back over to the operator to begin Q&A.
Operator: Thank you. [Operator Instructions] Thank you. Our first question is from Mark Murphy with J.P. Morgan. Please proceed with your question.
Mark Murphy: Thank you very much. Congrats on a great result. Thinking back on the Rising conference, the energy and enthusiasm was pretty remarkable. When you look back on that, how did you feel about the pipeline generation coming off of Rising and through November on the FINS side of the business. I noticed you mentioned an AWS planning win in that time frame, and do you see any early signs that might validate that the hiring wave you've had of these FINS dedicated sales reps can drive some bookings traction as they begin to ramp up in the next couple of quarters?
Carl Eschenbach: Yeah, let me start and then Doug, I'll ask you if you have anything to add. So thanks for the question, Mark. Let me first start by saying thank you to our workmates and partners around the world for delivering our third consecutive outstanding quarter here in FY 2024. We often talk about the diversity and durability of our business, and it was once again on full display here in Q3. Our value proposition continues to resonate more than ever with our customers, and this gives us a very resilient and durable business. So just thank you to everyone for helping achieve another outstanding quarter. Directly to answer your question, Mark, as it relates to Rising, yes, you're exactly right. There was a tremendous amount of energy and enthusiasm coming out of the conference, and there was a lot of energy around the financials solution that we're bringing to market. And I will tell you, it wasn't just from our customers, but it was also from our partners who continue to invest on building out their practice around financials. As you know, for the last 10 months, we've talked multiple times about our investment in the financials business, and we are seeing early dividends, and I say early because we still have a lot of opportunity to grow the business going forward, but we see early dividends that those investments are paying off. Number-one, our pipeline around FINS continues to grow. Number two, we continue to sell both to net-new logos, our financials, and back into our customer base. Number three, all of the hiring we've done on our FINS go-to-market sales reps are actually impacting not just FINS sales, but also helping us drive full platform sales. We talked about full platform sales being up again this quarter, and I think that is just the strength of our financials in conjunction with what we already have as a strong HCM business. And lastly, I would say planning continues to do quite well. We did announce, last quarter we talked about Exxon landing a large financials deal, in this quarter we talked about AWS, which is a very significant land for us as well. So overall, we see the FINS opportunity being quite large. We talked about, only 25% of financials moving to the cloud, which just represents a huge opportunity for us and we are really pleased with our win rates against our competition there.
Mark Murphy: Thank you very much.
Operator: Thank you. Our next question is from Kash Rangan with Goldman Sachs. Please proceed with your question.
Kash Rangan: All right, thank you very much. Congratulations on a wonderful finish for third quarter. Carl, you've been in the seat for little under a year, actually close to a year. You've cycled through one full Rising conference. You've had a chance to speak with partners, check the pulse of the customer. You went through a tough year of macro. Everybody [predicted] (ph) the session, thankfully we didn't have one. So where does that leave you with respect to your refreshed assessment of the next three to four years versus where you started? Thank you so much and congrats to the entire team here.
Carl Eschenbach: Yes. I'm still here, by the way. Aneel, you want answer that question?
Aneel Bhusri: No.
Carl Eschenbach: Of course. So first of all, Kash, thank you for your nice words. And thank you for the question. So let me start talking about Workday, I appreciate you saying almost a year, I can't wait till December hits because then it's officially a year and we no longer talk about it in terms of months. So we're almost a full year into this journey with my partner Aneel. Let me start by talking about Workday. One thing that I recognized when I was on the Board for five years, that I had an incredible culture and strong values, and that is more evident to me than ever before. And that's what continues to excite me about Workday as a whole. As it relates to, if you will, a refreshed outlook of the business and the opportunity, I see many ahead, and a number of them we're already leaning into throughout this year. First, our international opportunity. We spoke in my prepared remarks around the performance of our EMEA team growing the business significantly year-over-year and driving predictable results. We continue to see strong potential through the partner ecosystem that we're building and how we're getting leverage from them. So that's a huge opportunity for us. The third is, I just spoke about in answering Mark's question around financials. Financials represents a large opportunity for us that we're leaning into heavily. We've hired a lot of sales reps throughout this year. And if we continue to see the early results that we're seeing. The first three quarters of this year, Zane, and I will continue to fund additional growth on FINS and especially on the go-to-market side. And last, I think, one thing that I've really come to recognize and appreciate. Aneel talks about our unrivalled data set that we have compared to our competition out there, and that is paying dividends for us today, especially in the terms when you think about AI and Generative AI, no one has an enterprise large language model like Workday has and it is driving tangible and productive results for our customers through generative AI.
Kash Rangan: Wonderful. Thank you so much.
Operator: Thank you. Our next question is from Kirk Materne with Evercore ISI. Please proceed with your question.
Kirk Materne: Yes, thanks very much. And I'll echo the congrats on the quarter. Carl or Aneel, actually, I was wondering if you guys could just talk about where Gen-AI is and the decision making tree for your customers right now? Meaning, has it sort of sprung to the top so that your leadership in that category is having, I guess, an impact on win rates already? Is it something you sort of expect to continue to build? I was just kind of curious, everybody is sort of piloting AI right now, but I am kind of curious if your leadership is actually putting you in a position for your win rates to get stronger as we head into 2024? Thanks.
Carl Eschenbach: I do think it will position us for our win rates to get stronger in 2024. At this point, I don't think people are making decisions yet, just purely on AI. I think it's something that every customer looks at to make sure that they're going to be covered with a new deployment or a customer knowing that Workday has them in a strong place, but they're still looking first and foremost at running their business and moving off of crappy legacy applications into the cloud. And we're unmatched in that category. And then when we add the AI stuff, I think it just checks that AI box. But, I would say that despite all the hype, it's still in the early days of actual large scale deployments of AI in HR and finance, we're ready, we're just -- we're waiting. I don't know Doug's with us. I don't Doug, you want to add anything on what's happening in the sales cycles.
Doug Robinson: I think it does come out in the sales cycle, but in a different way. So we talk talent optimization. And talent optimization, the entire sort of value prop of it is built off of AI and ML. So while they're not saying show me your Gen-AI, they are saying show me how I'm going to move to a skills based economy, how am I going to reskill my workforce. And then it gives us a chance to showcase the innovation that we've got.
Kirk Materne: Great. Thank you.
Operator: Thank you. Our next question is from Brent Thill with Jefferies. Please proceed with your question.
Luv Sodha: Hi, this is Luv Sodha on for Brent Thill. Thank you for taking our question. Zane, this one's for you. Early renewal activity has been fairly robust this year. And it supported backlog growth. I guess as you look out over the next few quarters. Could you just talk about your expectations for early renewals, but those continue to be a tailwind to backlog growth.
Zane Rowe: Yes, thanks for the question. As we've communicated over the last number of quarters, we've been very pleased with not only our backlog growth, that our new ACV growth and the renewal activity, both the scheduled renewal activity is growing nicely as well as the early renewal activity. And as I mentioned in my prepared remarks, we have some of that contemplated into the upcoming quarter and candidly into next year as well. I will point out that over the last 12 months, we have seen elevated growth rates in scheduled renewals, which has obviously helped with our backlog, but we're very pleased. I'll point out that we guide to, obviously, subscription revenue. So we're focused on subscription revenue, and I've given you an indicator of subscription revenue growth heading into FY 2025. We feel good about backlog and renewals as well, and just the overall health of the business. Carl?
Carl Eschenbach: Yes, the only thing I'd add Aneel is, I think we always want to reiterate that our customers are driving the early renewals based on-demand. And if they want to buy additional SKUs to consolidate on our best-of-breed platform. We're not going to wait till renewal cycle to sell them additional products. We're going to do it when the customer is ready. Last quarter, we saw a nice uptick in SKUs being sold back into our customer base, that drive, if you will, these early renewals like Talent Optimization, Accounting Center, Prism and Extend are just four examples of what customers are demanding more from us, and we're -- driving those early renewals more than we are. We don't incent our sales force to do early renewals, it's all based on customer demand.
Luv Sodha: Got it, thank you.
Operator: Our next question is from Brad Sills with Bank of America. Please proceed with your question.
Brad Sills: Wonderful, thanks so much for taking my question here. One of the things that stands out to me here is the strength in financials. You called out full platform wins here as a contributor. So great execution there. I'm just wondering, with these types of deals where you're seeing big organizations commit to the full platform, both FINS and HCM, are you finding that there's just an increased comfort level with the cloud for financials such that they're willing to make that leap now versus, say, in the past? Or is this simply just a function of you focusing more on those types of deals with some of the investments you've been making? Just curious to get some color on why now for that strength in full platform deals, particularly FINS? Thank you.
Doug Robinson: Thanks for the question, this is Doug answering. I think first and foremost, we still think 25% of the market is all that's moved financials to the cloud. So it's still early innings. But the recent quarter pipeline build suggests that it's growing and that it's more consistent performance. And you look at verticals where it's really popping up. I think we even called this out, but healthcare alone grew over 50% in the quarter and over 50% of those deals were full platform. So there's enterprises like AdventHealth with 80,000 employees, 46 different hospitals at sort of massive scale buying into full transformation, human capital management, financials and supply chain on the Workday platform.
Carl Eschenbach: And one other thing I'd add is, as we have really leaned into the mid-market or medium enterprise, those customers have a tendency to decide on a full platform approach between both Financials and HCM and that business had a really good quarter for us in Q3, both in the U.S. and in Europe. And those customers are absolutely leaning into a full platform decision at a given time when they're looking at transforming their business.
Brad Sills: Great to hear. Thank you so much.
Operator: Our next question is from Alex Zukin with Wolfe Research. Please proceed with your question.
Alex Zukin: Yes. Hey guys, thanks for taking the question. And, I guess, first of all, congratulations on a really strong quarter. It looks to me like you accelerated CRPO subscription bookings, which I know is a metric we're not supposed to look at, but we do. At the same time as your incremental growth on sales and marketing, actually, you were way more efficient. So I guess, what I want to ask about is, as I think about the matrix for next year and you talked about the growth algorithm, how do you stack rank which of those priorities you need to kind of hit on to get there? And then what prevents kind of like maybe what are some of the areas that you see leaning into on an incremental spending perspective that might be temporarily anchoring margins?
Carl Eschenbach: Yes, you want to start Zane, then you can add color. So one of the biggest investments we've talked about a number of times already here is our investment in our financials go to market build out that is paying early dividends. I do think it's important to remember that a lot of these hires that have happened over the last three quarters of this year aren't fully ramped and don't hit full productivity till next year. So as they come up to speed, right, I think we'll see continued growth in the financials and overall business as we head into next year, because of this build out we're doing this year. We do continue to lean into our partner organization, we're hiring a number of people to manage all of the partners we're bringing on. An example would be, this year when we launched our referral program, we had a goal of signing up 100 partners in our referral program, and through three quarters, we already have 150 partners who have signed up. And it brought us hundreds of new leads and new opportunities both here and in our international business. So we'll continue to lean into that. And then, I think Aneel and Zane will continue to lean into investing in the product side, as we see a great opportunity to leverage that dataset and model that we talked about, to drive AI solutions in new SKUs into the market. So, I think it's a little bit more of the same. And we'll continue to lean into the investments we made this year as long as we continue to see the early signs that they're producing the results that we want.
Aneel Bhusri: Alex, I'll just add. As Carl is alluding to, obviously there's significant sales and marketing expense ahead of this. At the same time, we're investing in other key areas just around the globe. We're also looking at the product side. We're being very disciplined about how we think about that incremental growth and that incremental investment heading into next year. Which is why the outlook I gave aligns nicely with the framework that we have and we're confident that as you've seen this year we'll be very thoughtful on where we spend and how we spend. So, as you've seen, our guide increase from 23% earlier in the year to now 23.8%. As we look to next year, we have the benefit of expanding not only our revenue base, but also our margins throughout the course of next year. So we feel very good about where the business is, where those investments are. I'll point out obviously that as you know in this business the bookings come well ahead of the revenue. So we would expect to see revenue continue to build beyond FY 2025.
Alex Zukin: Perfect. And then maybe just if I squeeze in another one for Aneel. Coming out of the Analyst Day it did feel like at least on the macro front, there were kind of gathering storm clouds, whether it was a potential for government shutdown or labor strike or macro concerns. Did you feel maybe coming out of the quarter and as you look at into the kind of the big selling season that some of those it has indeed ebbed and maybe there's more of a conservative optimism that you're kind of seeing on the horizon?
Aneel Bhusri: I don't see conservative optimism. I kind of just see it's par for the course. I mean, we've just been in this dynamic -- I think dynamic is the right word. Somewhat complicated world now since before COVID. And what -- I'm proudest of the team, and I'm going to defer this question to Carl and to Doug is how they've executed through this, really challenging time. That's just very -- I don't want to say unpredictable, but it's not predictable.
Carl Eschenbach: Yes. Aneel, I think you said it well. I don't think we see any improvement in the macro or do we see it getting any worse. It's pretty consistent with what we've seen all year long and I'll just echo what Aneel says. I just want to give a hat tip to Doug and Patrick and our sales teams around the world for their understanding of how to navigate some of these choppy waters. We've said in the past, we continue to see heightening scrutiny on some deals, particularly net new but our teams have figured out how to navigate that and close a lot of business the first three quarters of the year. And even when opportunities may slip, they don't leave our pipeline, they just move out a quarter or two, because once people make a decision to do a transformation around HCM or financials, it's not if they're going to do it, it's when and I think that was very evident both this quarter, the first three quarter of the year, I should say, and I think that will continue going forward, but our teams are very skilled and very good at closing business as they call-it each quarter. I couldn't be more proud of them.
Alex Zukin: Well, definite hats-up to you guys from us here. Congratulations.
Carl Eschenbach: Thank you.
Operator: Thank you. Our next question is from Raimo Lenschow with Barclays. Please proceed with your question.
Raimo Lenschow: Yes. Perfect. Thank you. Congrats from me as well. Carl, you touched already on the partner build-out. Can we just double click on that one as well, like because, like what's the appetite at the moment on the partner side, to build out headcount around you, Obviously, economic times are tops and the SI's are usually late cycles, so they're only realizing now what's going on. Like, is that kind of still very much in investment mode on their side, or is there a pause from their side that could kind of potentially be a headwind for you going forward. But congrats from me as well there? Thank you.
Carl Eschenbach: Thank you, Raimo, and thank you for the question. As it relates to the investments our partners are making, I do think they're investing in Workday. They already have very well established and mature HCM practices. But if you were at Rising and you spent time talking to our partners and the ecosystem there, what you would have heard is a lot of them see the opportunity, just like we do in financials, and they're investing heavily on building out their financials practice around Workday. And that was evident both at Rising here in the U.S. and just a few weeks ago at Rising in EMEA. So there is no doubt our partners are really leaning into us. And, by the way, I mentioned it earlier, they're also bringing lots of opportunities to us because for the first time this year, we're giving them an incentive to bring us as net new opportunities as part of our referral program. So, yeah, the investment is happening.
Raimo Lenschow: Okay, perfect. Thank you.
Operator: Thank you. Our next question is from Derrick Wood with TD Cowen. Please proceed with your question.
Derrick Wood: Great. Thank you. I guess for Carl or Aneel, I wanted to ask about traction with Extend and how that plays into the AI opportunity for you. I think you've talked about this is the platform that helps integrate into Workday models, into third-party AI models, that helps unlock a lot of private data and that you'll look to maybe introduce new tiered pricing for Extend. But can you just talk about how you see Extend helping to drive AI monetization for you guys in the medium?
Carl Eschenbach: Well, so Extend has been one of our best kept secrets before the AI gateway for the last several years. For the longest time, customers wanted extensibility and instead we had frankly build every feature they wanted into the product and we give them Extend and they're able to develop the features that are unique to their own business. And basically that same story plays out with AI, where, I think we've got a great strategy for embedding AI into our products. You'll see a series of new SKUs over time. They are built on -- they built around AI technologies. But the AI gateway around Extend unleashes partners and customers to do AI things that may be very unique to their business that we would never build into our core products. So it's been huge. And, I also think, you'll see ISVs, leverage the AI Extend gateway and continue to build products using that technology, which will only extend our ecosystem and make our customers even happier with the offerings that they have in front of them. I think Extend is kind of a secret weapon for us, especially now with the AI gateway. And we are monetizing it and I think we'll continue to monetize it. I mean maybe Doug wants to talk about how we're monetizing it and how much more we can do.
Doug Robinson: I think the best example of that is the Accenture Skills Cloud that we announced with Accenture, this quarter, Aneel. So essentially, they've taken extend and build IP on-top of it and then they are also taking Workday journeys, Workday Skills Cloud, Workday learning and reselling it. On behalf of Workday into the market to different customers. So they're packaging it up with a set of services around it and then driving revenue on our behalf. So there's lots of exciting opportunities like that, that's just one example.
Derrick Wood: Great. Thank you.
Operator: Thank you. Our next question is from Karl Keirstead with UBS. Please proceed with your question.
Karl Keirstead: Okay, great. Maybe I'll direct this one to Zane. Zane out-of-the Investor Day, there was some degree of investor angst about the margin outlook and yet, here tonight, you've raised your full year margins and you're guiding to up margins next year. Just curious, has your thought process changed at all in terms of the OpEx trajectory over the next several years, perhaps it's not quite as front end loaded as you were thinking. Does this imply maybe you feel a little bit better about the revenue outlook and that's flowing through to perhaps a better than expected margin outlook next year? Love to get a little bit more color and to sort of contrast it to the Investor Day commentary.
Zane Rowe: Sure, Karl. Yeah, happy to answer that. I thought you're going to ask me about my first five months here, but I'll go ahead with the margin question instead. I'd say no change from the framework that we discussed, but as you point out, obviously we've been pleased with the revenue we've seen through the course of the year, obviously increasing our margin outlook for the year and then leaning into the margin, increasing into next year as well. So it's a little bit of all the above. We feel confident with our strategy, with the revenue growth we've seen. We're always going to be thoughtful as we articulated at our financial Analyst Day around those investments that we're making, but we want to have that capacity to make those investments where we believe it makes sense and we expect to do that into FY 2025 and well beyond that. I've also pointed out previously that where we see opportunities to increase that operating margin, we'll continue to do that and let it drop to the bottom line as well. So broadly speaking, no change in our outlook. But you're right in pointing out that when we have those opportunities, we'll let it drop to the bottom line.
Karl Keirstead: Okay, thank you Zane.
Zane Rowe: Thanks.
Operator: Thank you. Our next question is from Pat Walravens with JMP Securities. Please proceed with your question.
Pat Walravens: Great. Thank you. So, Aneel and Carl. I'm wondering how you see your partnership evolving when Aneel takes the Executive Chair role in January. And Aneel any lessons from Dave's transition to chair back in 2014.
Aneel Bhusri: Wow, okay, so. Second one cut me off guard a little bit. I'll just -- I'll answer the second one first. You know everything is a continuum and I still talk to Dave almost weekly and he is still the touchstone for a lot of things that happen at Workday. But you know what he said to me when I became the CEO. There can only be one captain of the ship. And I'd say the same thing about Carl. I'm excited about Carl being the captain of the ship. And frankly, what I've seen over the last almost a year, we're just nine days away from the year. December 10th was the date. Carl's amazing, and he is driving the business in ways that I never could have. And so I'm really happy in transitioning back to a product and innovation and strategy role, which is really how Workday got started with Dave and I. And those are my roots. So I'm very excited and our working relationship has been great, but I think more importantly and I would say this is the same with Dave and I. Workday is a company built on friendship, it was first Dave and I, and now it's Carl and I and I think that's really powerful and that's what makes me very confident and optimistic about the future.
Carl Eschenbach: Yes. And the only thing I want to add is, Aneel is going to be sticking around. He is truly -- I know we like to use the Rockstar term here at Workday. He is the rock -- a Rockstar in the software industry. And just watching Aneel's energy the last three or four months diving deep into AI. Driving our product and technology strategy has been amazing, and I can't wait to see him continue to do that even as he steps into this new capacity. He's truly a genius when it comes to product and product strategy. He is not going anywhere, period. I know he's my boss as an Executive Chair, but I also want to be his boss sometimes and tell him he's not going anywhere.
Pat Walravens: Okay, great, thank you both.
Operator: We will now take two more questions. Our next question is from Scott Berg with Needham & Company. Please proceed with your question.
Scott Berg: Hi everyone. Congrats on the really nice quarter here. And thanks for taking my question. I guess my question is probably for Doug. I know it's early and I know that Workday has had AI interwoven into the platform for obviously couple years, but with a renewed sense of kind of customer interest in the space last six months, I guess, what are you seeing now for an appetite to actually pay for some advanced or incremental functionality around some of the Gen-AI technologies out there? I think a lot of the questions we get is around -- from investors is will customers actually pay for this? Now that you have maybe three to six months under your hat, any viewpoint there would be helpful. Thank you.
Doug Robinson: I'll answer it from a broader AI perspective and I think the answer is yes. Customers will pay for where they see business value. And if you remember at Analyst Day, we highlighted that in the previous 12 months. Talent optimization increased attach to 45% from 35% in just 12 months. I look at the top three SKUs that sold within the quarter of Q3 and talent optimization was right in that top three. So, I think they're willing to pay for business value and we're seeing a lot of energy. In some ways it feels like early days of Workday, and I was part of early days of Workday where our customers come with great energy to co-innovate with us and what can we do together. And they share some of the things they're experimenting with, and we share some of the things we're experimenting with. But we've talked about this for several quarters in a row. There is a desire to consolidate vendors and to consolidate onto a platform and leverage that platform. So I do think there is a willingness to pay and I do think it shows up in the results.
Carl Eschenbach: If I could add one other thing, I would just say that the point solutions that are being created by startups are proving that customers are willing to pay for AI, only AI native equivalent of co-pilots. These companies are getting substantial deals done and they are adding -- I think they're adding value and they're part of our ecosystem. And it's a good proof point that customers are willing to pay for it if they see the value.
Scott Berg: Great. Thank you for taking my question.
Operator: Thank you. Our final question is from Brian Schwartz with Oppenheimer and Company. Please proceed with your question.
Brian Schwartz: Thank you very much. This question is for Carl or Doug. Just wanted to tap into what you're hearing in the C-Suite in terms of prioritizing IT spend for next year. If we think about this year, clearly, there was a prioritization on technologies that drove efficiency and business cost optimization. Do you have any early read on how the C-Suite at large enterprises are thinking about prioritizing IT spending for next year? Thank you.
Carl Eschenbach: Yes, thanks Brian. For the question. Doug you want me to start and then you go.
Doug Robinson: Yes.
Carl Eschenbach: Okay. So I think there's probably three demands we're seeing right now out of the C-Suite. Number one, talent. Talent is clearly a C-Suite priority, and companies are all focused right now on reskilling and upskilling their workforces. And they're also really focused on driving a better employee experience to keep the employees around longer and therefore drive better productivity. So I would say talent is a C-Suite priority. The other thing I would say is leaning into something you mentioned, is they are looking to consolidate, and they're looking to consolidate their IT spend. And in doing so, they're driving more of a platform approach. And I think we have a platform where people are consolidating on top of. And when you do that, you have a better total cost of ownership. And I know we've talked a little bit about AI on this call, and we'll continue to do so for many years to come. But I think AI is really becoming a business imperative, and they're all trying to figure out how to leverage it. And I think as they do so, they're going to lean towards vendors who they trust like Workday to be able to deliver those AI solutions and really drive impact to their employees and their overall productivity gains they're seeking as a company. That's what we're seeing, but. Doug, you're out there touching even more customers than I. So I'd like you to respond too.
Doug Robinson: Well, you covered mine, but I'd say, I agree with you. Best of suite versus best of breed. There's a desire for that, which is that consolidation play. And you touched on the other one I was going to hit, which is a renewed energy around efficiency and productivity with business applications. So get employees in and out, drive great efficiency. And that, by the way, has the side effect of driving a better employee experience. And so while there's all this talent and skills and employee experience focus, there is -- CIOs come into our corporate visit center and saying, how do I get more productivity? How do I get more efficiencies? And that's where the Gen-AI conversations get really interesting.
Brian Schwartz: Thanks, Doug.
Doug Robinson: Thank you.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. I'll now turn it back to Mr. Eschenbach for final comments.
Carl Eschenbach: Sure. [indiscernible] that works too. No problem. Thank you, operator and thank you to everyone for joining today's call. And a special thanks to our workmates, customers and partners around the globe that continue to fuel Workday's success. Q3 was another strong quarter, highlighted by durable mission critical nature of our platform and it only reinforces the excitement we have both in Q4 and the opportunity we have ahead. We are all well-positioned here at Workday, and we're focused on executing in Q4 and laying the foundation for a durable growth in FY 2025 and beyond. With that, I'll hand it back over to the operator to close today's call and I hope everyone has a great evening and a happy holiday season.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.